Reynaldo Passanezi Filho: Good afternoon, everyone. Thank you for being here. And this call with us for us it’s always a pleasure to bring to you our results. I also would like to thank to have here with us all of you in our Cemig Day, where we brought to you our strategic planning. We had a wonderful attendance in our Cemig Day, and that’s where we presented the main drivers of the company and I repeat here in very directional way. Our main objective is to focus and to win. And I think this sets up the tone of our main objective, which is to focus on the businesses, that to make notes its core business is distribution generation and physician and trading within the State of Minas Gerais and to win and to be a recognized company with the best service to customers and clients in that area. Therefore divest from any other businesses.
Leonardo de Magalhães: Thank you, Reynaldo. Thank you all very much for being here with us in this first quarter of 2021 conference call. So just like Reynaldo said this is another quarter of consistent results to make it during 2020 has proven to be resilient even in a pandemic environment. Our results for 2020 and all the quarters, we understand that they match to the market’s expectations. We’re able to improve our operating efficiency. And this result on this quarter more or less 20 years – sorry, 20 days ago, we had our Cemig Day where we had at the end of the meeting to talk about our guidance and our expectations of results for 2021. And we understand that the results for the first quarter match our results expectation and what – and also what the company talks about in terms of strategic planning, operating efficiency improvements. And here, we kind of highlight the main topics that we understand that have to do with watch this as two weeks ago in our meeting with investors, our Cemig Day here, we have the highlights and Velez is going to go into the details about them later on. We have a significant EBITDA of almost R$2 billion, R$1.845 billion much higher than 2020, and even adjusted for non-recurring events. And 2019, we had some adjustments related actually in 2020 annually had adjustments related to light and they had some non-recurring as mentioned in the first quarter of 2020 bringing it down and even adjusting that we have a result of 22% higher.
Antonio Velez: Thank you, Leonardo. So now let’s turn to the results analysis itself. I just would like to highlight some effects that were more important and that have affected the results in this first quarter. So that it will be easier to understand the presentation and the consolidated figures for the holding. We had a positive effect and the equity method results of 45% growth from R$82 million in the first quarter of 2020 to R$119 million in the first quarter of 2021. And this was mainly thanks to positive effect in Taesa’s results and also impairment reversal in Guanhães. For Cemig Distribution, we had also a very relevant increase in the volume of electricity distributed. The captive market had a drop off 1.7% and transport for clients was up in 9.7%, also here, we had a migration from pre-clients, and I will talk more about that shortly. Our OpEx in Cemig Distribution as Leonardo mentioned and our CEO also mentioned is within the regulatory target. And for Cemig GT, the main impact was the mark-to-market of the Eurobond that has generated the negative effects of this in the first quarter of 2021, of that R$619 million net effects. So here we have the explanation or the details of the negative effects of the mark-to-market of the Eurobond. So this was because of the dollar being aided, the real had a depreciation, therefore generating that negative effect of R$751 million and with the increase of the interest rates – future interest rates that also impact us negatively in the hedge result impact in thefinancial results at the end, it was negative of R$939 million and negative impacts in the net profit was R$619 million, as I had mentioned. But as you know, the dollar – the FX exchange rate for the dollar and add a level of R$5.697, and today the dollar is already at R$ 5.26. So the real already had an appreciation from then to now. So if we were to close that today, we would have an improvement of R$600 million as well. And this chart shows how sensitive that Real bond that is according to the dollar variation. So at every R$0.10 up or down, we vary or that in around R$150 million. If it reaches R$5 for a dollar, we’ll be at R$7.5 billion and that is in the quarter of closing was R$5.697, we reached R$8.546 billion at March 31. Now talking about EBITDA and the non-profits in the first quarter, we see that we had an increase of 133.2% in our IFRS EBITDA. And according to our EBITDA for adjusted for non-recurring effects, it goes almost 23%, R$1.349 billion in the first quarter of 2020 to R$1.658 billion in the first quarter of 2021. Just at the same, our net profit adjusted by the non-recurring effects had growth of 36.5% from R$589 million to R$804 million. And on the bottom of the page, we have all the effects, one of them are the adjustments to fair value for Light, which we had last year and we do not have this year. So we had to – to show the adjustment so that you would understand the comparison and other interesting and important fact is the FX exposure in the Eurobond and these are the more relevant in fact. Turning to the results for Cemig GT. As we had mentioned here, we do not have any non-recurring FX. So the EBITDA IFRS neither in the prior quarter Q1 2021 had effect so we can just have a direct comparison. And the EBITDA was up 8.4% for the Cemig GT from R$688 million to R$746 million net profit is really the effects of variation that have an impact because our dollar denominated analysis is better understood in the adjusted results. So the net profit had a growth of 12.4%. The adjusted net profits from R$274 million in the first quarter to R$308 million in the first quarter of 2021. The adjustments once again are down below in this chart. And before talking about the EBITDA and net profit of Cemig GT, I would like to talk a little bit about our Cemig Distribution – I’m sorry, we would like to talk about the market, which had a strong recovery in 2021. So here it comes through the build market and if we see and consumers and transported energy, there was a growth of 3.3% in the total of distributed energy. And as I mentioned, the transported energy for free clients was up 9.7% in the period while the sale for end consumers was down 1.7%. It’s important to highlight that in here, we had 181 gigawatt hour in the first quarter of migration of free or actually captive clients to free clients. And that affects a little bit of compare and then the transported energy if we make that adjustment would have grown 7.9% on the sale for end consumers, although instead of having that reduction of 1.7% it would have grown 0.9%, but even more important is the evolutions performance of distributed generation and that is not considered and the sale for end consumers or transported energy. But the energy coming from the distributed generation increased 120% from 125 gigawatts hour in the first quarter of 2020 to 430 gigawatt hour in the 4Q 2021 that’s a very relevant growth. So today distributed energy – distributed generation already represents more than 3.5% of the total energy that goes through our system. So it is very relevant. And as you know, this has a significant impact for Cemig Distribution’s tariff and that’s why we believe to have a discussion about the subsidies by having a tariff policy. And the discussion should be a national one for a national tariff. And finally, I would like to say that we know that the residential consumers that have been very resilient and also because of what we are going through with the pandemic, so residential was up 3.2%, but really the main driver in here for the increase in the electric and energy consumption and distribution – Cemig Distribution is industrial consumer, it’s very relevant player, and it was up 8.4%. The commercial clients had a reduction of 12.2%. And as we usually say, the EBITDA – both EBITDA and net profit for Cemig Distribution was very positive, very strong in the first quarter of this year, we did have growth, which was very significant relevant. However, you look at it and the main non-recurring effects that we had here was a reversal FX provision related to profit sharing program of R$79 million in EBITDA and R$52 million in the profit. If we made these adjustments, we had an increase of 34.5% in Cemig EBITDA, Cemig’s Distribution EBITDA from R$495 million to R$666 million. And in the case of net profit, we had an increase of 72.6% from R$197 million last year to R$340 million in the first quarter of this year. About costs and operating expenses, we had a total increase considering energy purchase and other costs non-manageable cost and PMSO we had an increase of 14.3%. Looking at only the PMSO, there was an increase of 8.3% that was because of outsourced services. And we believe that this was a one-time off with the increase of some expenses, such as communication and trees pruning that we hadn’t done much last year or in the beginning of last year. And so it was – we had to do this year, but as you will see, this is within the regulatory limits. And other expenses here, most of them have increased because – the increase because of the cost of energy purchase for resale from R$2.8 billion to R$3.100 billion in the first part of this year and charges has also increased a lot, almost doubled from R$365 million to R$400 – to R$747 million this year. And in terms of operating efficiency and in here I’m comparing with the regulatory OpEx. As we already mentioned, we are a distributing company and still have a more efficient performance, more efficient than the regulatory level in the first quarter in R$53 million, thanks to the PMSO, which was R$157 million lower than the regulatory level. But we also had other expenses like the post-retirement, the voluntary redundancy program. And our CEO already mentioned that we are working on it. We are also working on our health care plan and we have also ideas for the pension plan. So basically that’s it. We had an OpEx, Cemig Distribution of R$712 million and the regulatory OpEx of R$765 million. And so we are R$53 million lower than the regulatory OpEx. About the regulatory EBITDA, we also had a performance that was better, it was R$124 million higher than the regulatory EBITDA basically because of our OpEx we had also other changes in the revenue, which helped us to have a realized EBITDA or our actual EBITDA that was higher than the regulatory EBITDA. So we are R$124 million higher than the regulatory EBITDA of R$621 million. And in terms of debt, we have a very comfortable debt profile here in terms of maturities vis-a-vis our cash we have now – we ended the first quarter with cash of R$6 billion, R$181 million and with maturities at the end of the year of R$823 million, last year, R$1.2 billion, in 2023 R$816 million. We are very comfortable in the short term expect for 2024 that’s when we have the maturity for our Eurobonds, a huge wall. And as Reynaldo, we are working – actually, we are planning to have a liability management for this bond in the midterm. Other debt costs increased a little bit because of the CDI increase, as you know, part of that is linked to the CDI. So there was a slight increase. And here the leverage, as I mentioned, we have a leverage that is very comfortable. So total net debt over EBITDA is 1.1 times that is a very good level and total net debt over equity plus total net debt of 24.6% very comfortable leverage level. Finally, before turning to our Q&A, I would like to talk about our cash flow. Our cash by the end of 2020, as you know, was already very robust, R$5.8 billion and we generated cash – operating cash of R$943 million. We had here reimbursements to consumers of credits of PIS, Pasep, those who are already in last year’s tariff R$178 million, we paid loans and finances that were due in the first quarter R$1.3 billion. We did not have any fundings. As you know, we also had the sale of Light. As you know, we do not have any additional shares or stock at Light. And we also had R$366 million investments. So we went from a cash of R$5.8 billion cash by the end of last year to R$6.181 billion by the end of the first quarter. Reynaldo, would you like to talk about the management’s priorities?
Reynaldo Passanezi Filho: Yes, Velez. Very briefly, we always like to show this slide, because it summarizes the main company’s initiatives that will add value. Some of them are already met, some are partially met, and others are ongoing and they are part of our agenda. So it’s very important to stress that because some of these initiatives, for instance, the post-retirement programs, we mentioned in the Cemig GT that in the short-term, we would start the process of negotiations with the unions. And this already started. We started negotiations about the healthcare plan, and we are looking for a restructuring of the plan, reducing our actuarial risk, and also expenses recorded in our balance sheets. So negotiations are ongoing, and we can expect that in the short-term that will have negotiations about the pension plans. These initiatives are on our agenda. They are part of our daily activities. And we understand that this year in 2021, we will continue working so that we can work on all of them. We know all of them are very important for our strategic planning or everything that we have discussed with the market initiative that we understand that were important as add value to the company. They involve debt management, operating efficiency and other structural topics that involve the retailer energy trading as well. So thank you very much. And as Velez mentioned, we will now open up for the Q&A session. Is that right, Velez?
Antonio Velez: Exactly.
Reynaldo Passanezi Filho: So, let’s open the Q&A session.
Operator:  First question is from Arthur Pereira from Bank of America.
Arthur Pereira: Good afternoon. I have a question about the distribution results. On the line, where you talked about reimbursement of PIS and Cofins credits to consumers, you did post that in the revenue of Cemig D and then we see the same amount in your cash flow. So my question is that if there’s R$178 million and have affected the EBITDA of the distributing company in the quarter. Thank you.
Antonio Velez: Hello, Arthur . Thank you for your question. Actually, the facts that involve the reimbursement of these amounts, they do not have any fact on their results. What happened is that our tariff was reduced in R$700 million that we included in the tariff review to return to consumers. But as we return these amounts to consumers, these are just accounting adjustments. Our regulatory revenue for our confession contracts was not affected because of these R$700 million that we are returning on the tariff. So in summary, this R$178 million does not affect the EBITDA. The EBITDA that you see, the regulatory EBITDA, according to the concession contracts is as only a cash of fact where we return into the tariff, that is we collect a little bit less than the tariff, but on the other side, we are reducing our liability with consumers because we have the share that we have to return to them regarding those 10 years.
Arthur Pereira: That’s great. Thank you.
Operator:  Next question from Andre Sampaio, Santander. Mr. Andre?
Andre Sampaio: Good afternoon. I just have a follow-up on the prior question. I would like to understand is considering your answer to him. If you were to work on the results of the distributing company as a whole, the expectation from now on so that we can have an idea. Are we going to have efficiency? Well, there is something that we cannot foresee in the future. Like you don’t think that this is going to last in the future. I don’t know if Reynaldo wants to mention to talk about this.
Reynaldo Passanezi Filho: Andre, thank you for your question. Andre, the guidance was published or disclosed more or less two weeks ago. And this guidance, the base of our strategic planning is continuity of the operating efficiency of the company reduction of non-technical losses and the improvement in our collection – land in our collection program, reducing the PDVP and with based on all these initiatives of the company, we published the guidance for to make distribution, which is where we had an EBITDA for this year between R$2.544 billion and R$2.518 billion. And we understand that this quarter was 155 close to 607 and nearly we are maintaining our expectation to meet the guidance. Obviously, considering this the range $2.544 billion, R$2.581 billion, because of our market expectations and our measures also for efficiency – operating efficiency. I don’t know if I addressed your question, but our guidance, I think is a – here for what we expect in terms of 2021. Just adding to that whenever we disclosed a number, the OpEx is going to be lower than the regulatory, but we have published a plan with improvement of efficiency. And this does not include the false retirements everything we might have in terms of positive results in the negotiations or post retirements are not considered in these projections.
Andre Sampaio: Excellent. Reynaldo, thank you.
Operator:  If there are no further questions, we’ll turn the floor back to the company’s management for the final remarks.
Unidentified Company Representative: Very well. Thank you all very much for being here with us. I will see you on the next quarter and our next call. Take care. Thank you. Good afternoon, everyone. Thank you. Thank you all very much.
Operator: Thank you. The conference call for Cemig has ended. Thank you all very much for your participation and have a nice afternoon.